Operator: Good morning, everyone, and welcome to Schwab’s 2024 Fall Business Update. This is Jeff Edwards, Head of Investor Relations, and I’m joined today by a slightly larger contingent of esteemed presenters, including Co-Chairman and CEO, Walt Bettinger; President, Rick Wurster; new CFO, Mike Verdeschi; and Managing Director, Peter Crawford. Today is certainly a little bittersweet as the team is certainly excited to provide their perspectives about all the exciting things happening at Schwab right now. But, today also marks the final business update for Walt and Peter. I don’t believe I’m going too far out on a limb to say that we are all going to miss having both of them in the room with us each quarter, especially Walt, who has helped set the energy and pace for these business updates for well over a decade and a half. I’m certainly going to reach out to Mr. Fowler to see if he’s still planning on hosting quarterly business update watch parties for those former Schwabis who are interested in joining from his undisclosed location. Given the larger group today, we should have a familiar, but slightly different cadence to the session. Walt will kick things off with some opening remarks and then he and Rick, who will be stepping into the CEO role coming January, will provide insights around our clients and overall strategic picture. And, then given the recent CFO transition at the beginning of the month, we thought it made sense to allocate the financial update between Peter, who will focus on 3Q results and Mike, who will touch on our thinking as we enter the final stretch for 2024. And, then this time around, we will save a few extra minutes at the end for some closing remarks from Walt. Some quick housekeeping reminders. The slides for today’s business update will be posted to their usual spot on the IR website at the end of the prepared remarks. Q&A remains structured as the one question, no follow ups, and let’s be mindful of those multi-part questions that we certainly encourage anyone to re-enter the queue if another question comes to mind. And as always, please don’t hesitate to follow-up with IR with any additional questions. And finally, the thread that links us all together through the years, the eternal wall of words regarding our forward-looking statements, reminding us that the future is indeed uncertain, so please stay in touch with our disclosures. And with that, Walt, please start us off.
Walter W. Bettinger: Thank you, Jeff, and good morning, everyone. Thanks for joining us for our October business update. I’ve had the honor of speaking with all of you at these updates dating back to 2005, when I assumed responsibility for our Investor Services or Retail Business. Of course, as Jeff indicated going forward in my role as Executive Co-Chair, I won’t be participating in these calls. So, I want to take a moment and thank all of you for your interest, your thoughtful questions as well as the insights you shared with me over the years. Through all the ups and downs that changing economic and competitive environments lead to, I’ve always respected your professionalism and integrity. So, thank you. So, let’s go ahead and dive right into our discussion. The third quarter was an important quarter for us during this transition year. Some might refer to it as an inflection point, although only time will tell on that perspective. Nevertheless, Rick, Peter, Mike and I have a series of positive developments to share with you today. In the quarter, we made strong progress across virtually all key areas. Former Ameritrade clients are continuing to generate positive net new assets. That’s the second quarter in a row. Our clients are growing transactional sweep cash balances. We’ve made meaningful progress in paying down supplemental funding. We’re experiencing ongoing strengthening in firm-wide net new assets. Clients are enrolling into our retail advisory solutions at record levels. All these facts, along with other key metrics, illustrate the health of the franchise and fuel our solid optimism for the future. The third quarter did see some choppiness in the markets. Overall, our clients remain solidly engaged, and we continue to make progress on key areas of focus across the firm, which Rick will spend some more time on. I think at this point, any questions about our long-term growth trajectory should seemingly be fading. During the quarter, inflation eased and as the Fed began to lower interest rates, equity markets responded by reaching all-time highs. Investor sentiment remained bullish during the quarter. Overall trading activity was solid, including some modest softening late in the quarter as our traders digested the future of rates as well as an equity market at all-time highs. Client engagement was quite healthy across our full spectrum of capabilities, whether it’d be trading, banking services, advisory solutions, custody for RIAs, as well as asset management. For the quarter, trades were up about 4% from the prior quarter, while margin balances grew over $1 billion to end at $73 billion. Managed investing or retail advisory flows broke another record totaling $15 billion during the third quarter. Net new assets were also quite strong during what is sometimes a slower quarter given that the summer months are included. Net new assets more than doubled from the third quarter of last year, as former Ameritrade clients continued to generate positive, albeit still modest net asset flows. And, during the quarter, clients entrusted us with almost 1 million new brokerage accounts. Slide 9 here is particularly important for those who track our net new assets closely and have been trying to ascertain our progress back to our long-term track record of 5% to 7% organic growth. When we acquired Ameritrade, we recognized that we would be benefiting from a one-time large lift in client assets, but along with it would be the noise of attrition that we estimated at 5% to 6% of assets ultimately applied to nearly a $2 trillion client base. What we saw during the third quarter as more of that attrition faded into the rear view mirror was that year-to-date net new assets for this year crossed over the trajectory of net new assets in 2023. We all know that net new asset levels can be fickle as multiple factors influence them, from investor sentiment to market performance, interest rates and even the level of promotional cash for assets temporarily offered by some competitors. But, when we dig through the various factors that do influence net new assets, we remain quite confident in our plans to build our way back to our historical ranges. This confidence is further supported by the response from former Ameritrade clients. As these clients become more familiar with the Schwab platforms and service experience, we are seeing an increase in client promoter scores or client satisfaction, whether it be retail or RIA clients. Their engagement across the business in our various solutions is further evidence of the success of the integration. And, consistent with our best of both approach to the Ameritrade integration, Legacy Schwab clients are now taking advantage of the thinkorswim trading platform at a robust level. Consistent with prior years, we continue to be recognized by a variety of third-party sources for our quality of services, our overall client offering, as well as our reputation. We were particularly proud of the fact that Investor’s Business Daily named Schwab Bank as the most trusted bank. Given the negative press and at times misperceptions regarding our bank over the past 18 months, we were especially pleased with this particular result. Rick, let me turn it over to you to review some more details of our progress serving clients and building the franchise. And I’ll close this out, as Jeff indicated, after the Q&A session with just a few final observations.
Rick Wurster: Thank you, Walt, and good morning, everyone. Picking up on where Walt left off, we’ve been able to achieve this industry recognition because our through client-size approach remains the foundation of our strategy and it will continue to drive our long-term growth through the cycle. In the near-term, we deliver for clients through our four strategic focus areas. And in the third quarter, we advanced initiatives in each area that you see on the screen. Starting with Scale & Efficiency, we’ve captured 95% of our Ameritrade run rate expense synergies and expect to capture the rest by the end of the year. In an industry where pricing matters to clients, having a low cost position is a huge competitive advantage, one we’re committed to maintaining, with our cost discipline and ongoing investments in our operations and infrastructure, we’re continuing to lower our cost to serve clients. In 2024 to-date, our adjusted expense on client assets or EOCA fell to 12 basis points, down from 16 in 2019. Our second focus area is Win-Win Monetization, which is all about how we attract and retain assets by meeting more of our clients’ evolving financial needs. Wealth Management is one of our key areas of focus and clients continue to turn to us for advice across the spectrum of our solutions. Year-to-date managed investing net flows are up 65% compared to last year. In the third quarter, new and existing clients added $11.5 billion to our full-service wealth offers, which include Schwab Wealth Advisory and Schwab Advisor Network. This is 75% more than the prior year quarter. Clients continue to turn to Schwab Wealth Advisory in record numbers. We also recently began introducing a discretionary option for Schwab Wealth Advisory clients, which will help us meet even more of the comprehensive wealth management needs of investors. Clients continue to have strong interest in our other wealth offerings, including our Wasmer Schroeder fixed income strategies, where year-to-date net flows are up nearly 60% compared to last year. Clients are also increasingly turning to us for their borrowing needs, powering strong growth and adoption of our Pledged Asset Line or PAL. PAL balances reached a record $15.7 billion, an increase of 16% over last year. Notably, former Ameritrade clients represent 44% of PAL balance growth. Our account originations are up 57% year-over-year and we expect if rates fall, the amount drawn on the PAL will increase. The increased adoption is in large part due to the digital enhancements that we’ve made to the process. Nearly 90% of PALs are now digitally originated and more than 40% of retail applications are now initiated by a financial consultant compared to less than 5% just a few years ago. This makes it easier on our clients and helps FC deepen relationships with our clients. The entire process from the time a client opens an application to when they can access their loan takes on average just one and a half business days and only minutes for most loans. This industry leading offer is delighting our clients and client promoter scores have increased roughly 30 percentage points in this product since 2021. With Client Segmentation, we’re focused on serving distinct retail and advisor client groups with tailored solutions specific to their unique needs. RIAs have been and remain in an incredibly important client segment for Schwab. We have the same goal as the RIAs we serve to make a meaningful difference in the financial lives of our clients. And, we are committed to continuing to help our advisors grow, compete and succeed in pursuit of this mission. We have a world-class custody business, and we’ll continue to invest in it to provide RIAs of all sizes with the open architecture platform and unmatched resources, services and education that they have come to expect from us. I’m thrilled to have the opportunity to dive into this in more detail at our upcoming IMPACT Conference next month. Turning to our retail business, we know that relationships matter and we’re investing to give more of our clients access to a dedicated financial consultant. Our ultra-high net worth clients have been a particular area of focus as they have some of the most complex financial planning and wealth management needs among our client base. We’ve added additional expertise for this group, including wealth consultants and tax, trust and estate experts. We’ve also enhanced our approach to service and operations for this client group, all of which has been well received by clients as evidenced by their high-client promoter scores. We plan to launch retail alternatives to this client segment this quarter, which will be an important milestone for clients. Traders are another distinct and very important client segment for us. I believe that the combination of Schwab and Ameritrade has produced the strongest trader offer in the industry. And, we are continuing to enhance our capabilities, including investments in our mobile experience, our platform and our research and education. Our fourth strategic area is the Brilliant Basics. With the size of our client base, the most attractive opportunity we have for growth is to delight our existing clients with every interaction they have with us, so that they trust us with more of their assets, conduct more of their financial lives here at Schwab and refer others to us because we are delivering each day on the client experience. In our retail business, our average speed to answer the phone was less than 40 seconds in the third quarter. Year-to-date through the third quarter, the client easy score for our service teams is 92%. That’s the highest score we’ve earned from clients in four years. And, the vast majority of incoming calls are addressed without the need to transfer the client call. In Advisor Services, our client easy score, which is a client’s real-time rating of how easy it was to complete a specific task or transaction was 89% in the third quarter. And, in our workplace business, we were Ranked #1 by J.D. Power and Participant Satisfaction for our Retirement Plan Digital Experiences. I’m confident in our ability to deliver for clients today and I’m energized by the opportunity to do even more as we look ahead. And, as we look to the future, not just next quarter or next year, but through the cycle and for the long-term through client-size will remain the foundation of our strategy. Through client-size means we will relentlessly focus on serving the needs of individual investors, workplace clients and RIAs and the clients that they serve. True client-size is what will continue to drive the virtuous cycle and fuel our growth well into the future as we invest in the Brilliant Basics, Scale & Efficiency and serving more of our clients’ needs across client segments. I do want to take just a moment here to express my gratitude to Walt for his vision, his leadership, his focus on our clients and the integrity and selflessness in which he has led our company. That vision is not changing as he transitions into his new role as Co-Chairman and I move into my new role as CEO in the New Year. I’m grateful to be stepping into this role in a period when our client capabilities have never been stronger and we are operating from a position of strength. And with that, I’ll turn it over to Peter.
Peter Crawford: All right. Well, thank you very much, Rick. So, Walt and Rick talked about the strong engagement we’re seeing among our clients as they utilize our broad wealth management and trading capabilities, our success in attracting assets and accounts from both existing and new clients, the encouraging signs we’re seeing that fuel our confidence about returning to our historical growth levels, and our progress and plans to do just that as we execute on our four strategic priorities that Rick talked about. In this, my final time addressing you today and Mike’s inaugural business update, he and I will review our very solid and improving financial performance in the third quarter, which was somewhat better than we expected heading into the quarter. We’ll provide an update on the latest developments regarding our clients’ cash realignment activity and how that enabled us to make progress in paying down bank supplemental borrowing. And, we’ll share an updated outlook for Q4 2024 earnings and some very early thoughts on 2025. The important point is that we near the end of what we have repeatedly called a transitional year. We know we haven’t yet reached our traditional level of organic growth or peak financial performance and yet we feel really good about the progress we have made further unlocking the core earnings power that has been building through this whole cycle, but which has been masked by other factors and reinvigorating our long-term financial formula. With Ameritrade related attrition receding and ceasing to be a major drag on our organic growth, a continued moderation of client cash realignment activity, which allowed for sequential growth in client transactional cash in the third quarter due to strong net inflows during September, sequential growth in both net interest revenue and overall revenue and finally, a steady and continued increase in our capital levels inclusive of AOCI. And, while we all appreciate the uncertain nature of the world we live in, our positive momentum sets the stage for what we expect will be even better operating and financial performance in the quarters and years ahead. As Walt mentioned, 2024 has been characterized by strong equity markets and consistent client engagement. We saw that reflected in external benchmarks such as the S&P 500 and NASDAQ as well as key drivers of our business performance, including margin balances now up 17% from the end of 2023, trading activity in the third quarter that was up modestly from the second quarter, and as Rick mentioned, a continuation of the very strong interest among clients for our advisory solutions. And finally, client cash realignment activity continues to decelerate enabling strong growth in overall client cash and transactional cash for the quarter and especially robust growth in the month of September. Now, while we repeatedly cautioned against overreacting to a specific month’s or even quarter’s transactional cash flows, this recent activity is further evidence that we are at or near truly transactional levels of client cash, enabling us to pay down a meaningful amount of supplemental borrowing at the banks and creating a good launching off point for Q4 as Mike will discuss in a moment. Now, that backdrop helps support solid financial performance in the third quarter that exceeded our expectations with revenue up 5% year-over-year to $4.8 billion. Adjusted pre-tax income up a similar amount and adjusted pre-tax margin of a little over 41% and adjusted EPS of $0.77. Now, before I turn over to Mike, I want to make two brief comments. First, I want to join Walt in thanking all of you within the investment community for your engagement and your interest over these last several years. I firmly believe that the rigor, the discipline and the transparency you demand of us makes us a better company. And second, I want to thank Mike here for allowing me to step down from the CFO role with the confidence that between him and Rick, this company I care so much about is in great hands. It’s really been a real privilege working with Mike these last several months and I’ll continue to do what I can to help over the coming months. He has already added a lot in his time here leveraging his very relevant experience and exceptional judgment. And finally and importantly, he connects with our purpose and his values align with the company’s values. And with that, it’s my pleasure to turn the floor over to, Mike.
Michael Verdeschi: Thank you, Peter, and congratulations on your well-deserved retirement. I’ve certainly enjoyed working with you and the broader management team to get up to speed these past few months. You’ve been an outstanding leader for the firm with many contributions over the years, which have had a positive and lasting impact on our clients and employees. As I mentioned back in May at Investor Day, there are so many exciting things happening around Schwab. So, I feel very fortunate to be stepping into this role right now, and I look forward to working with Rick and the rest of our teams as we continue to serve the needs of our growing client base. Let’s pick it up with a summary of key balance sheet highlights for the quarter. Importantly, we continue to support our clients with both margin and bank loans to clients up sequentially. As Peter alluded to earlier, we saw a healthy rebound in transactional sweep cash during the quarter, including $17 billion of net inflows in September. This positive development in cash enabled us to reduce high cost supplemental funding at the banks by $9 billion. At the same time, we also continued to take proactive steps at the broker dealer to both support sustained client activity in areas such as margin lending and further diversify our funding profile. Those actions included transferring $4 billion of client cash sweep balance to the broker dealer, bringing the total year-to-date transfers to $14 billion. This allows us to align funding where it’s needed to support the large and growing activity of our former Ameritrade clients. We also activated some efficient client related wholesale funding at the broker dealer to again serve the needs of our growing client base, especially those that tend to trade and utilize margin loans more frequently. This wholesale funding has very little impact on our net interest revenue, because the funds we take on are deployed into cash, which earns a fairly similar rate. The net result of these actions is increased flexibility to meet the evolving needs of clients, while continuing to achieve our financial objectives, such as paying down supplemental borrowings at the bank and ensuring growth in earnings. Finally, our capital levels continue to build towards our adjusted Tier 1 Leverage objective, driven by a few factors. First, quarterly earnings, then the accretion of unrealized marks which occurs at a pace of around $1 billion per quarter regardless of changes in interest rates and lastly, an incremental tailwind in Q3 from the move lower in interest rates. Of course, this rate related impact will vary over time based on fluctuations in interest rates across the curve. Turning to client cash trends. The trends in transactional sweep were quite encouraging for the third quarter with total sweep cash balances growing $9 billion, including a $17 billion net inflow during the month of September. This result reflects the continued slowdown of rate related realignment activity. Cash trends during September also benefited from anticipated seasonal trends as well. Moving forward, it’s important to keep in mind that while cash trends do not move in a straight line month-over-month, we anticipate making further progress over time, ultimately resulting in cash balances growing in proportion with client accounts and assets. So, while we will continue to monitor factors that can influence the trajectory of cash, such as interest rates, investor engagement, as well as seasonality, these encouraging trends help support our strategy and momentum into the end of the year. The cash trends also positioned us to make incremental progress on reducing the amount of outstanding supplemental funding at the banks. We reduced the balances by $9 billion from the June 30, 2024 level to just under $65 billion at the end of the third quarter. Supplemental funding balances are now down over 30% from peak levels back in May 2023. Further pay down progress remains a priority as cash as well as principal and interest proceeds from the bank securities portfolio continue to be key drivers in paying down borrowings. The exact timing for achieving our pay down goal will also be influenced by some of the same factors that we see in our transactional cash trends. Over the near-term, continuing to reduce the amount of supplemental funding outstanding is a key driver in achieving normalized earnings power and we expect to show continued progress from here. Turning our attention to capital. Lower rates supported our pace of capital build during the quarter, with our adjusted Tier 1 Leverage ratio expanding by over 70 basis points to 6.7%. We are quickly approaching our 6.75% to 7% operating objective. Despite the recent backup in rates to start the fourth quarter, we still expect to finish 2024 above the lower bound of the objective range. As we begin 2025, we will start to pivot from what has been a focus on building our capital ratios, inclusive of AOCI to looking across our capital framework. As always, our number one priority for capital is to support business growth. To the extent we have excess capital beyond our business needs, we have sought throughout our history to return it to stockholders through a variety of means, including our common dividend, which historically has risen alongside GAAP earnings, preferred security redemptions, considering costs and an optimized equity funding mix, as well as opportunistic stock buybacks. But, as we have previously noted, in the near-term, there is an added consideration relating to our progress on reducing the high cost supplemental funding at the banks. While this action is not a return of capital per se, liquidity, which otherwise could support capital buybacks, may instead be used to pay down supplemental borrowings. Following our third quarter results, we now anticipate full-year 2024 revenue to increase by 2% to 3% versus 2023. This is slightly above the range that was communicated back in July due to a higher starting balance for transactional cash balances and reduced supplemental funding balances at the bank. Adjusted expense growth for full-year 2024 is still expected to be approximately 2%, inclusive of certain non-controllable items outlined earlier in the year. Combining this refresh perspective on topline growth with an expense trajectory that reflects the benefits of our scale and ongoing efficiency initiatives implies earnings expanding further into the upper 80s range for the fourth quarter, a bit above the level we communicated back in July. Before we wrap up, let’s spend a moment on 2025. We are right in the middle of our planning cycle, so we won’t get too far ahead of ourselves, especially with the upcoming presidential election and two FOMC meetings where the rate path remains uncertain. However, we thought it might be helpful to briefly touch on a few items that are helping inform our thinking heading into next year. As noted, we anticipate coming into 2025 with good momentum and expect it to further build in the year ahead with of course the usual considerations for shifts in the macroeconomic backdrop, interest rates, market sentiment, seasonality too. While NIM should continue to expand even in a lower rate environment, the ultimate level will be influenced by a range of factors, including the path of rates, which is now much lower than back in July. On the expense front, consistent with the company’s historical approach, we will balance making investments to support sustainable long-term growth, while also delivering on the firm’s near-term financial objectives. Keeping that balanced approach in mind, year over year expense growth in the mid-single digits still feels like a reasonable starting point for now, while acknowledging that changes in the broader environment, client activity, typical seasonality and other key factors will undoubtedly shape our 2025 expenses. Plenty of opportunity to discuss these topics a few months from now. As we approach the end of 2024, it is hard not to be excited about the opportunity in front of us. Momentum with clients continues to strengthen, while our 3Q financial results put us in a position to deliver meaningful earnings power expansion. As the combination of our diversified revenue model and a balanced approach to expense management yields profitable growth, which we believe will be amplified by our capital efficiency through the cycle. And with that, it’s time for some Q&A. Jeff, back to you.
Jeff Edwards: Operator, can you please help outline the Q&A process for the group?
Operator: Absolutely. [Operator Instructions]. Our first question comes from Ken Worthington from JP Morgan. Please go ahead.
Ken Worthington: Hi, good morning. Thank you for taking the question. You reported a substantial improvement in transactional sweep cash and deposits this quarter. I would love to better understand what drove this change in September, compared particularly to August in earlier quarter levels. Given September NNA was similar in September to August levels and given the Ameritrade flows are positive but still modest and we’re seeing fund and ETF buying similar again in September to August levels. What is really driving, the better or what really drove the better transactional cash in September? And is this the beginning of a better outlook or is September really just a one-off?
Michael Verdeschi: Let me address that with talking about the quarter. In the quarter, we did see organic growth of cash. And I would say, we also saw some of the variability that we typically see in client activity as they engage us. So, as you highlight, we did see that pick up in September. But over the course of the quarter, as we’ve been saying, this is further evidence of that realignment activity normalizing. So, a combination of organic growth and some of that variability as well. So, we feel good about this progress. And again, this is going to be one of the keys in addition to obviously taking on the principal and interest payments that come out of the securities portfolio in combination using those proceeds to make further progress on paying down the supplemental borrowings.
Operator: Next, we’ll go to the line of Alex Blostein from Goldman Sachs. Please go ahead.
Alexander Blostein: Hey, good morning, everybody. Thanks for the question and congrats to you all on your next respective chapters. I wanted to ask Mike just your thoughts around how you’re thinking about the securities portfolio given the fact that the cash seems to be stabilizing a bit and the capital is rebuilding. That’s come up a number of times in the past as well. But obviously financially paying down securities a bit ahead of schedule to reduce EBITDA balances makes sense. But curious how you’re thinking about any kind of holistic securities portfolio restructuring as you enter ‘25?
Michael Verdeschi: Sure. Well, that remains certainly a popular topic within the investment community and we appreciate that question, but it is something that we’re not currently pursuing. And as we’ve said in the past, we do not want to create unnecessarily headline risk that could disrupt our trusted relationship with clients. And I think an important factor that we’re looking at is again that ability to continue to make progress in paying down that supplemental funding at the bank. And so we do have an analysis. We keep that analysis fresh of looking at what a restructuring could entail. But for the reasons that I mentioned, not at this time. And the key factor that we’re focused on is the progress of paying down that supplemental funding.
Operator: Thank you. Next, we’ll go to the line of Brennan Hawken from UBS. Please go ahead.
Brennan Hawken: Good morning. Thanks for taking my question. Mike, I believe you said mid-single-digit expense growth was an early expectation for 2025. Just wanted to clarify, would that be before the averaging in of the efficiencies that were realized through the year in 2024? And would it exclude onetime items such as the FDIC and other charges in 2024?
Michael Verdeschi: Sure. So that does that is inclusive of that restructuring from this year. So again, that mid-single digit is going to reflect really our intent to ensure we have resources made available to continue to invest in our capabilities. We are a growth company, so that is going to be important that we have sustainable investment in our firm, while at the same time, we’re going to be demonstrating discipline in that expense deployment, ensuring that we’re meeting our financial objectives. So, it does include those components.
Operator: Thank you. Next, we’ll go to the line of Dan Fannon from Jefferies. Please go ahead.
Dan Fannon: Thanks. Good morning. Question on organic growth, which those trends continue to improve, but it does seem like Ameritrade clients continue to be somewhat of a drag. Can you talk about how you see that normalizing or when you see that normalizing? And then also update us on the backlog currently for new advisors potentially joining the platform?
Rick Wurster: Sure. Let me start with our organic growth. So overall, when we look at our Schwab only clients or legacy clients of Schwab, the growth of our legacy Schwab clients remains in that 5% to 7% growth range that we historically have seen. As it relates to Ameritrade clients, we’re going through what is a natural process of Ameritrade clients coming to Schwab, joining our platform and realizing how much they love it. Our flows from Ameritrade clients have outperformed our expectations. Walt shared earlier the expected level of attrition that we thought we would see. We’ve seen less than that. We’ve outperformed that. And for two quarters in a row, we’ve begun to see former Ameritrade clients contribute positively to net new assets. So, our expectation is that over time as those clients become more familiar with our platform, get comfortable with it as we build a relationship with those clients because I think that’s a big difference between some of what they would have experienced at Ameritrade and what they’re experiencing now as part of Schwab is the relationship element of what we do, the service part of what we do. As they get to experience that, we believe they will contribute more net new assets over time and grow into the level that we see from our Schwab clients. So, we do expect that our long-term growth trajectory will continue. We expect our Ameritrade clients to continue to grow their net new assets at the firm as they’ve done the last 2 quarters. And importantly, all signs that we’re seeing with our Ameritrade clients suggest that our relationship model is working. And if you look at our record flows into our wealth area, a significant portion over a third of the flows are coming from former Ameritrade clients. And if you look at our lending capabilities, half of new originations in our pledged asset line, half of the growth came from former Ameritrade clients. So, the push to put our arms around these Ameritrade clients, help them in their financial life just as we’ve done for Schwab clients is working and our expectation is that you’ll see over the long-term our growth in the range that you’ve seen it at Schwab.
Operator: Thank you. Our next question comes from Kyle Voigt from KBW. Please go ahead.
Kyle Voigt: Hi, good morning. So, you seem to be on-track to be at the high end or even above your tier one leverage target by year-end. However, you reiterated this quarter that you want to make more progress on the repayment of supplemental borrowing before restarting share repurchases. I’m just wondering if you could provide more color as to whether there’s a certain level of supplemental borrowing at which you feel comfortable executing on buybacks or if there’s a certain level of tier one leverage above your target where you would be comfortable executing on buybacks even without substantially making more progress on repayment of supplemental borrowings.
Michael Verdeschi: So, just to reiterate and thank you for the question. Paying down supplemental borrowings is a very high priority. Obviously, we’ve had some good progress this quarter. We want to continue to make that progress. And we really want to get those levels down much more meaningfully, really get it down to that more permanent level, which is going to be modest at very most. So, we have more work to do there. We’re certainly encouraged by the cash trends that we’ve seen, which will be an important driver of that pay down of supplemental borrowings. So, we need to continue to see that sustained progress. I wouldn’t say there is an exact amount in mind. It’s going to be a function of the broader environment as well. And yes, we’ve made good progress on the growth of that capital as you alluded to. And that has been a combination of the earnings growth that we’ve seen, so that organic growth. You also have that accretion component as well from the securities portfolio. And this quarter, you did see some increase due to the variability in interest rates and that’s a component, keep in mind, that will continue to play out over time. But it then gets back to our capital framework. To the extent we have capital over and above what’s needed to support our firm. And I want to make that point very clear. The capital that we have is there to support our firm and to grow our strategy. Beyond that and beyond paying down supplemental borrowings, then we look to our capital framework where we will look at an opportunity to return capital to shareholders. And that could come in a variety of forms. It could be through common dividends, where historically we’ve been at 20% to 30% of GAAP earnings. But we’ll also look at preferred securities outstanding and look to see when they are callable and make a decision whether that capital is needed and whether we wish to call them or not. And then beyond that, we would look to buybacks. So, I think the when I think about capital, we’re going to continue to ensure that the capital is available for our growth. We have this different consideration this time around with paying down supplemental borrowings. And then beyond that, we’ll look to our capital framework.
Operator: Thank you. Next, we’ll go to the line of Steven Chubak from Wolfe Research. Please go ahead.
Steven Chubak: Hey, good morning. So first off, congrats Walt and Peter, thank you for insights over the years. Mike, I did want to ask you on the funding strategy, you touched a bit in your prepared remarks, but was hoping you could just speak to changes to your funding approach. Just trying to understand whether there’s a funding arbitrage from raising wholesale borrowings at the broker dealer versus the bank. And just help quantify the increase in borrowings at the broker dealer. Just trying to get a better or more holistic funding picture, if you will, across the firm given there seem to be some different moving pieces at the bank versus the broker dealer here.
Michael Verdeschi: Hi, Steven. Thank you for the question. So that funding at the broker dealer is certainly an efficient source of funds and it is important that we diversify our sources of funding. That is just a general practice that we want to have here. It’s a capability we want to have. And it’s efficient in that I would think of it as pre-positioning funding that we then subsequently placing in cash and earning a roughly equivalent yield. That is very efficient and it gives us the flexibility to meet the evolving needs of our clients. In the broker dealer with the completion of the Ameritrade acquisition, we have a growing client base. We have a client base that’s dynamic and how they engage us through margin lending. And that type of broker dealer funding is very efficient in meeting that evolving need and it allows us to also achieve the financial outcomes that we want to achieve, which is that growth of earnings that we’re focused on as well. I think more broadly, when I think about funding across the firm, I talk about diversified sources of funding and that’s the bank as well as the non-bank, the broker dealer and that could be in a variety of forms. It could be secured and unsecured and short-term and long-term programs. So, it’s really about creating a construct and having a framework that allows us to have flexibility to meet our client needs, while at the same time ensuring that we’re driving financial outcomes as well.
Operator: Thank you. For the next question, we’ll go to Brian Bedell from Deutsche Bank. Please go ahead.
Brian Bedell: Great. Thanks. Good morning. And also congrats to Walt, Peter and Rick and welcome Mike. My question just goes back to the deposits. Obviously, fantastic result for September. I guess and I know month to month can be noisy of course, but do you expect some reversion of that, i.e., some deployment of that surge in deposits as we sort of move into October? And then similarly that growth over the long-term that you outlined, Mike, is that do you think we’ll be able to still exit 2025 with a NIM of 3% given the forward curve or is that simply just lower, and do you have a view of what that might be given the lower forward curve?
Walter W. Bettinger: Thanks, Brian. Let me address the cash part again. I know Mike’s already addressed it, but let me just make a quick comment there and I’ll turn it over to Mike to talk about the NIM. We have cautioned for a long time an excessive focus on monthly cash movements, because you can simply have a one day difference making a huge impact in a monthly number depending on when fixed income maturities mature. Although the numbers are big, if you look at these numbers as a percentage of a $10 trillion client base, they are actually quite modest. And so the right way to look at it is at a quarter, not at a month. And we feel very good about where we ended up for the quarter. I don’t think there is anything unique or one off in the results for the quarter. And that’s why we feel confident about the fact that we continue to make progress in building of our balance sheet cash and anticipate that as we move forward taking into account the seasonality that Mike previously referenced. Mike, let me turn it over to you for NIM.
Michael Verdeschi: Thank you, Walt. And sure, there’s been a lot of focus on NIM. And that previous outlook of NIM approaching 3% by the end of 2025, that endpoint, December ‘25, if you will, that was informed by a rate path from earlier in the year that was much higher than the rate path that we see in, say, today’s dot plot. So, it’s reasonable to expect with that much lower expected rate trajectory for NIM to be modestly below that approaching 3% level that we talked about for the end of 2025. But what’s important to convey is that even in that lower expectation for rates, that we expect to continue to expand net interest margin in 2025. And a key driver of that is going to be our confidence in making that sustained progress in reducing that high cost supplemental funding at the bank. And so, what we’re talking about for fourth quarter is NIM into the well into the 220s and importantly, further meaningful expansion in 2025 as well. Now, we’ll be back in January as we typically do with the financial scenario at that time. Between now and then, we have two more FOMC meetings, where the outcome of those meetings still remains uncertain in terms of their decisioning. So we’ll have more information between now and January when we’ll come back to you and talk more about NIM at that time.
Jeff Edwards: Great. Thanks. Operator, I think we have time for one final question.
Operator: And for our last question, we’ll go to the line of Michael Cyprys from Morgan Stanley. Please go ahead.
Michael Cyprys: Hey, good morning. Thanks for taking the question. Just wanted to ask about the REA custody business. Curious how you’re thinking about opportunities for expanding your offering and solutions over time for the REA custody side? And what opportunities might be there to enhance monetization, I know historically you have not charged a custody fee and what sort of scenario could that make sense? Thanks.
Walter W. Bettinger: Thanks for the question, Michael. Let me talk a little bit about our, Advisor Services business and start by just saying it’s been a growth powerhouse for us. It continues to drive really strong net new asset formation, both in terms of the RIAs coming onto our platform and the growth of the RIAs for whom we custody assets. As we look at monetizing the business, I think there’s lots of opportunity in the future. We have been trying to do more in wealth, asset management and lending to support our advisors. And you certainly see it, our growth in all three of those areas as evidenced by some of the numbers we shared earlier. RIAs have been asking us, almost begging for us to lend to them and their clients over time because they want to work directly with us and they don’t want to introduce another party into the relationship. And as we’ve upped our game with our pledged asset line capability and some of our mortgage capabilities, more and more clients are keeping their lending business with us and we expect that as rates fall, we’ll see that accelerate. We’re also seeing on the wealth and the asset management side where our RIAs rely upon us in a number of different ways, including our fixed income capabilities, our Schwab personalized indexing capabilities, and a number of other areas. I also think that there’s more we can do for RIAs over time. If you think about the value chain around the RIAs, there are a number of ways in which RIAs spend money in their business. And many of those ways are services that we could potentially provide and for which the RIA would prefer to work with us because it would make their life easier. Those are all areas that we are exploring. As it relates to custody fee, we have we believe our current model works and has served the test of time. We have asked RIAs if they would prefer a custody fee in lieu of or taking a different approach. And that has not been a popular idea when we’ve offered that to RIAs. So, we like our current model. We do think there’s lots of ways to monetize our position with RIAs and we expect to do that over time in a way that is client friendly and helps us build our business and helps the RA build their business most importantly.
Walter W. Bettinger: Well, thanks all for dialing in and participating in our call today. As I mentioned in my opening thoughts, I’ve had the honor and the privilege to speak with many of you about Schwab’s results for almost 20 years. During that time, I have learned so much from the thoughtful and seasoned analysts who cover our stock as well as the owners who I would regularly meet with. So, thank you. And as I make this transition from CEO to Executive Co-Chair, I’m especially grateful to the tens of thousands of Schwabis and the millions of clients who have helped us grow during my tenure, not only from an $18 billion market cap company to something around $125 billion but also quadruple our stock price. I realize that these numbers are the lenses that many will choose to look through to evaluate my time as CEO of Schwab. But if I could, I’d like to go back to the very first conversation that Chuck Schwab had with me about the possibility of being CEO of the company someday. This conversation actually happened several years before I formally became CEO. And during that conversation, I asked Chuck this question, if I do become CEO someday, what would be the most important objective that you would like me to achieve during my time as CEO? Now I fully expected Chuck to reply with maybe a certain level of client assets or client accounts, maybe a level of market capitalization or even the stock price. But for those of you who know Chuck well, you can probably suspect that his answer was none of those. Instead, Chuck shared that his definition of success would be if I did my part during my tenure to ensure that there would be a strong independent Schwab 50 years hence. Importantly, because in Chuck’s words, investors need and deserve what we offer them. First rate service, great value, quality execution, professional advice, low cost mutual funds and ETFs, access independent investment advisors and so much more. And thanks to our employees, our 43 million clients and our long-term stockholders, Chuck has personally shared with me mission accomplished. Thank you all so much for joining us on our call today.